Martin Bouygues: [Interpreted] Hello. Good morning, ladies and gentlemen, and welcome to the auditorium. Welcome to this presentation of our 2014 Full-Year Results. I will, first, give you the key figures, as we usually do. You can see revenue sales stable compared to 2013, slightly up, driven up by an 8% growth on the international markets, which offsets the decline in France. Profits are in line with expectations, and that’s the key thing about this document. And as expected, current operating profit has been impacted by challenges in all our business areas. But operating profit has, of course, benefited from the sales - the disposal of parts of Eurosport. And you also have the capital gains from the disposal of Colas’ stake in Cofiroute. So, restated, not taking into account - these items into account, we would, the net profit would stand at €492 million, compared to €650 million in 2013. If we look at the construction businesses, sales, as I said, were driven up by international business. We are very profitable in what is after all a very challenging business especially in Europe and more specifically here in France. We started at the very early stages of major construction projects. And as you know out of more prudential accounting and also traditionally, we made big provisions at the beginning for risks and what not. And this usually is offset at the end of these projects. But international business in Colas has compensated some of the challenges we have in France, again with Colas but more specifically the issues we had at the Dunkirk refinery. If we look at TF1’s financial performance, we have of course a positive impact of the new business model. Current operating profit has done well but of course you have sold Eurosport International. So that has been extra income but of course it was the cost of the World Cup in 2014. Revenue is up - is down 9% and of course the cost of programming has also declined. We were able to generate €85 million in recurrent savings between 2012 and 2014. And that between 2008 and 2014 that accounts to €240 million that is in line with what we announced and that is of course good news. If you look at Bouygues Telecom’s financial results, again a challenging year 2014. We can be more confident now about the future of Bouygues Telecom. Sales, is down 5% and 7% down for sales from network. EBITDA is down to €694 million, we were aiming for €700 million we’re almost there. And current operating profit well is in the red, €65 million, operating profit is down what is again a loss of €62 million but EBITDA is stable roughly. And so we have EBITDA minus CapEx is almost nil. We were able to roll out the, what we call the transformation plant. Now you have to remember that that was €400 million in the settlements of disputes with a number of people. And so that was money coming in, and against that there were about €397 million related to the cost of this restructuring plan. And with one almost basically offset the other. Now then, what about our position in 2014? We found that the construction business is very dynamic overseas. And our competitiveness was enhanced thanks to our know-how ability to adapt to of course the significant decline in the French market. Having said that, Bouygues Telecom has continued its transformation in line with its roadmap, and we can see the first signs of this, its strategy being implemented. When Alstom disposed of its energy activities to GE that is of course is a good potential for us now that we are focused on this key core business and our financial structure is also enhanced. Now, let’s look at the various business areas, precisely starting with the construction business. You can see that the order-book over the past five years has been up 22%, I mean, that’s the best possible way to go through a crisis, this was an international crisis, it was a European crisis indeed it was a crisis here in France. And in spite of it all we were able to breathe sustained life into our construction business. The order-book is up significantly, now we stand at €27.615 billion up 22% over the past five years. Now, we are very dynamic internationally and we’re very competitive. On this slide here, this geographical map, what I thought was worth pointing out is the sort of challenges we’re facing. Now then, if you take, if you look at the world, all geographic areas are in the green, except for France in the red. Europe, outside France is up 16%. You have 8% for the Americas, 5% for Africa, Asia Oceania and Middle-East up 6%, so you can see that, I mean, these numbers are very encouraging indeed. And you can see that the 16% growth in Europe isn’t just a reflection of recovery in a number of countries, it is also the fact that we’ve implemented a very proactive development policy targeting specifically Eastern and Northern Europe. Now, there is also a strong momentum in new contracts that was signed in 2014, I won’t get into the detail of them all. But we have two major tunnels in Hong Kong, the Liantang and Shatin to Central link tunnel, upwards of €1 billion right there. And five railway contracts in the U.K. that Colas was able to wrench upwards of €500 million. And so this is part of this new momentum, and you can see that early in 2015 we signed a big contract in Australia, the building of a twin-tube freeway tunnel, 9-kilometers long. We’re talking €900 million for Bouygues Telecom, Bouygues Construction. We partnered with Land Lease. And it’s a four-year contract so of course this was signed in 2015. So it’s not in the 2014 accounts. But still, it’s a good example of our outreach to Australia, this is part of our major infrastructure projects in partnership with local companies but also we are making the most of our technological know-how in a number of areas especially when it comes to tunnels. Now let’s take a closer look, I mean, just to illustrate our competitiveness I referred to know-how in sustainable building or in what is known as environmental standards. A few years back I insist that we should go all-out in developing its sustainable development competitiveness and know-how. And we felt that sustainable development shouldn’t be an additional burden, it should be a new opportunity. It was for us to review our ability to make significant offers on a whole new range of products. And indeed demand is right there, expectations are high. So, here we have a couple of eco-neighborhoods built jointly with Bouygues Construction and Bouygues Immobilier, both in France and outside France, it’s not for me to go into the details of all these projects. But you have a clear illustration of our competitive edge in this field with Bouygues Immobilier you have the Ginko neighborhood near the Bordeaux lake. And that is the first neighborhood with district heating entirely produced with renewable energies. And it’s the first private project to get the EcoQuartier label. We also have an eco-neighborhood in Switzerland, Gland in Switzerland. And you have a, this is partly social housing. And it is known as well, what is known as low carbon mobility i.e. no cars. Now, there is another area of competitiveness and that’s the railways, you know that there are many projects underway around the world. And this is another example this was an excellent year for Colas High. Revenue was upwards of €900 million up 18% year-on-year. The order-book is up 19 year-on-year at €1.5 billion at end December 2014. And the order-book is up 37% over two years, so then you have a clear sign of our huge development. We had five contracts worth €400 million in the U.K. I mentioned this earlier. And then we have the metro-line in Algiers or the light-rail transit system in Malaysia that we are extending. Now, on this new slide, you have information on the cost structure of our construction businesses. And this is information we’ve already shared with you. But as I said in previous quarters, it is - you should note that here at Bouygues, we will have different businesses. We are involved in the telecom business, in the media business, in the construction business. Of course and business models are different from one business to the next. And then of course, in the cost structures in the construction business is variable. You have of course some flexibility because contracts at the end of the quarters of the projects can enable us to absorb provisions that we have variability fixed and in variable cost compared to fixed cost. So you have Colas for instance has a 63% variable cost and 80% for the French construction business, so we have great adaptability if only because of that. We’re also cutting costs in all our businesses we have a redundancy plan at Dunkirk. So there we’re refocusing on bitumen production, putting aside other businesses. And with any luck, this will put an end to losses - operating losses. So, as you can see, we’re very proud of everything we do and everything we’ve achieved with these structures. And I think the talent of our staff deserves to be acknowledged, a lot of the quality in our teams. Let’s now move on to telecommunications. Bouygues Telecom’s strategy is beginning to bear fruit. Let me just recall the objectives that we set ourselves. To recreate value by development mobile data users, to pursue growth in fixed broadband by making services and very high speed broadband accessible to as many people as possible and finally to accelerate the company’s transformation while reasserting its position. So, what have we done? Well, first of all, we’ve been very successful with Bouygues Telecom’s 4G network. Our network is attracting more and more customers as you can see in the bar-chart on the left. Growth is strong, and will continue. It’s actually going to accelerate through quite simply because you can - handsets are more and more affordable and you can get a 4G handset for less than €100. So users, if you look at the right-hand pie-charts, you see the share of Bouygues Telecom’s subscribers in the French market. All customers combined, we have a 14% market share and value is actually 17%. And for 4G customers, our market share is 34% which is an outstanding performance. Now all of this has helped us stabilize the mobile subscriber base. Now, the loss of prepaid customers is more than offset by growth in plan subscribers in fact plan subscribers were up 220,000 in 2014 which was a great success. We’ve also seen an increase in the mobile data consumption. Remember in mobile phones, there are two markets, voice and data. Voice is what we call the second generation technology and data is the 3G and 4G technologies. So, Bouygues Telecom customers are the leaders in terms of mobile data consumption. This is what we were aiming at and this is what we’ve achieved. On average, 1 gigabyte of mobile data per month consumed by the total subscriber base which is twice the national average, the national average was 400 megabytes at the end of Q3 2014. And an average of 2.2 gigabytes of mobile data for our 4G customers, putting our 4G customers among the highest consumers of mobile data just after the Koreans. If you look at the charts, I don’t think there is any need to comment, but it’s important nonetheless to understand that the - in 3G and 4G mobile market share our market share is 27% which is a very substantial market share and one that we intend to continue to grow. The increase in mobile data consumption will continue, driven by the increasing number of 4G handsets. In fact, 84% of handset sales are already 4G handsets. And this is going to increase as the portfolio of 4G handsets broadens and deepens, and at increasingly affordable prices. Secondly, there is the ongoing evolution of technologies in smartphones and tablets. Interesting to look at this bar-chart, you see that by type of handset, you see what our users’ consumption is. And of course, the bigger the screen, the higher the consumption, it’s always pleasant to look at videos on a bigger screen rather than a small one. And here you have the range of smartphones from iPhone to Galaxy, you see that the bigger the screen, the higher the consumption. We believe this is actually going to increase, to continue to increase I should say. Now to faster growth and faster consumption, we also felt that we needed three other things. First of all a high quality network, as you know Bouygues Telecom has been acknowledged as the one of the best networks in the whole of France, the second is the portfolio between low and high frequencies. We have a magnificent portfolio of frequencies. And finally, we’ve been rolling out a new technology called 4G plus. Just a few characteristic features to charge application in 3G is 24 seconds and 4G its 2.4 seconds and 4G plus is 2.2 seconds. To download a film its 35 minutes in 3G, 1.46 minutes in 4G and 53 seconds in 4G plus. And if I may add to that, in the months to come, we will be rolling out a technology that we are already calling 4G plus-plus, which will enhance these performances all the better and which will enable users to download films, videos and applications in a very, very short period of time. So, we’re already covering a very, very broad 71% of the population, the maximum speed of 100 megabytes per second. The 4G plus network is up to twice as fast as the 4G network. And the launch of the ultra-high-speed mobile technology which will begin in September 2015 will offer throughput of over 300 megabytes per second. We also wanted to enrich the plans for all our customers, for instance we have a new bonus that we call the Sensation, bonus services, which is Spotify, Canal Play Start, or Gameloft, which obviously encourage subscribers to adopt new usages, and which also anchor the loyalty of our existing customers. The keys for successfully creating value in mobile. Well, first of all you need a modern high-quality network. Whatever difficulties we may have encountered, I will draw your attention to the fact that we have continued to uphold our ability to invest substantially in our network because contrary to what certain would have you believe, a mobile phone network is something that’s never finished, it’s something that you have to keep constantly investing to maintain it at a maximum or optimum level of service. We have completely modernized the mobile networks since 2011. We have 6,500 base stations, that’s active antennas at the end of January covering 71% of the population. We have a substantial band of frequencies that provide the fastest speeds in the French market. And we’ve invested €1.5 billion in acquiring frequencies in order to have the spectrum needed to offer the fastest speeds, in preparation for what we see as an explosion of data usage. In the annex you’ll see the number of antenna for each operator - each mobile operator. In the annexes as I said, you’ll also see the results of measurements by independent sources of course on the quality of throughput for the various networks. Of course we felt it was important to be very relevant in the fixed broadband but I told the press towards the end of 2013 that we were announcing a real breakthrough, in fact announced this on the 20 December 2013. We said that we would make real technological breakthroughs that we would be offering plans that would save €150 a year for each customer. All I can tell you as of now that that announcement has become reality. Over nine months of last year we made a very significant breakthrough in fixed broadband because we have put out a triple-play broadband offer for €19.99 and launched in March 2014 and a triple-play fiber-to-the-home offer for €25.99 launched in June of 2014. We also announced the Bbox Miami at the end of last year it was actually a number of Bboxes on demonstration, just outside the room here. You can see them. It’s revolutionary because they are combining the best of television and the best of the internet for the very first time. Secondly, because bringing android technology into set-top boxes, developers the world over will be able to and the service providers will be able to benefit from this which should expand the whole ecosystem that we think is a very, very conducive. Finally this offer is exclusively available to our existing customers since January and will be available to new customers these are people who aren’t already customers. It will be available to them from March this year for €29.99 a month. So, this is a revolutionary box but most importantly at an affordable price. To wind up on fixed broadband, Bouygues Telecom is the price maker in the fixed market. It’s we who set prices and it’s we who set the pace of development. We have competitors who have fixed broadband margins in the region of 40% EBITDA margin, more in some cases. The same operators who were amazed at these margins what we feel that in fixed broadband margins are way too higher that there is plenty of room for more affordable offer. Trying to give you the piece of information that’s not on this slide but it’s important for you to understand that, the truth is that we have one over 1 million new subscribers on fixed broadband in 2014. This is a gross new gain which is an outstanding performance, an outstanding performance that we have every reason to be proud of. So, excellent commercial performance I’ve already told you about. That’s a net growth of 415,000 in 2014. We’re number one in terms of net growth and have been for five consecutive quarters. In fact, we have every intention of continuing this trend and if at all possible of accelerating it. So, our new positioning is based on the quality of the customer experience as announced back in November of last year. Our light motive is that our plans come first. So, customers automatically benefit from enhancements to their plans at no extra cost. Where we found that in telecommunication is often striking to see that with certain operators the longest standing clients pay more than new clients. So, it’s a funny way of rewarding loyalty. We believe on the country that our most loyal customers should benefit from each and every innovation. We have new services and new content. We’ve radically simplified the range of plants. We have a single range of seven plans with or without handset. Our customer relations are multi-channel for all our customers. And we are revamping our stores around the concept of contemporary connected homes. So, Bouygues Telecom is the dependable operator that gives its customers genuine reasons to remain loyal. That’s our goal. Well, the transformation plan is continuing, that’s of course one of our objectives. Unfortunately we have a departures plan, it’s already in effect. 1,362 voluntary departures and internal transfers were on our books by January 27 of this year, this avoiding any dismissals or layoffs. It’s obviously heart rendering it’s the second such scheme that we have to implement. This was after the upheaval that arrived in the telecommunication sector where I feel that approximately 50,000 jobs were lost with the distribution. The whole economic upheaval in France, this is a strictly French market, this was something that we hadn’t anticipated. But we believe that this area is now behind us, we’ve turned the place and we are moving on to a much more beneficial period. Our employees in the Paris region would be transferred to a single site before the end of the first half year. And we have organized a full migration customer base which we expect to complete by the end of the second quarter this year. Two thirds of the customers are positioned on new offers, the new offers that we launched in November of last year. Finally, we’ve progressed with our project to share part of the mobile access network with the Numericable SFR Group. And this project has finally entered into the operational phase. We’ve also confirmed the plan to generate savings of €300 million by 2016. This is by comparison with the figures at the end of 2015. But by the end of this year, the transformation plan has announced will have been fully rolled out. And I can assure you that that was easier said than done. So, Bouygues Telecom’s strategy, well, I’d like to sum up our strategy by giving you my vision of Bouygues Telecom in the French market. First of all, digital usages will experience exponential growth over the next few years. In mobile, first of all with the multiplication of screens and devices are permanently connected to internet. And in fixed telecommunications with the merging or converging of the world of television and the web, and the new ways of consuming content. TF1, or TFR, is also preparing for this convergence. Bouygues Telecom aims to play a very important part in the development of these uses, making digital use successful to as many people as possible, with high-quality offers at attractive prices. Bouygues Telecom also intends to keep pace with the growth in users by enhancing offers for all customers and intends to facilitate the emergence of the best performing digital eco-systems, in particular, by using Android in our boxes. So the outlook is return to positive free cash flow in 2016 thanks to the increase in the customer base at an optimized cost structure. Again, I’d like to confirm that our target of generating €200 million of savings per annum by 2016 again by comparison with the end of 2013. Operating targets for 2017 include an extra 1 million mobile customers and an extra 1 million fixed customers. But I can assure we do everything we can to outperform our own goals. More than two thirds of our customers would be on the directly on fixed network. Unbundling is still ongoing but gathering pace. We’ll be sharing the network, well, 75% of the network will be covered by the shared agreement with Numericable SFR. And we intend to continue to be number one in terms of mobile data usage. Well, we believe this is where we can really set ourselves apart. A few words about Alstom, well, Alstom represents growth and upside potential for Bouygues. We believe that subsequent to the disposal of the energy activities to General Electric, Alstom would be a world-leader in the growing transport market. We’ve seen that in the two of the very good performance in the rail business. Alstom will have a portfolio of products at the cutting edge of innovation and very strong international dimension established in a lot of countries and of course a strength in balance sheet giving Alstom the means to develop for them. Now the mid-term outlook disclosed by Alstom includes sales growing by more than 5% a year on a constant scope of consolidation, at constant exchange rates, and operating margin that should improve gradually to depreciation in the range of 5% to 7%. And there is also the share repurchase or a buyback offer which will take place in 2015 for an estimated total amount of €3.5 billion to €4 billion. And the group has also strengthened its financial structure. Net debt is the - I think the important figure to, at least one of the important figures today. Net debt is down sharply at the end of 2014 down to €3.2 billion from €4.4 billion at the end of 2013 or as restated. Net gearings obviously down, shareholders’ equity up to almost €9.5 billion, thanks to the payout of our dividend in shares or the offer that you enable shareholders to take the dividend in shares. So, we’ve reinforced our financial position, reduced - improved the free cash flow in construction. This was something quite conventional. We’ve offset the decline but we’ve also shown that we know how and when to dispose of assets to fund future developments. I also believe that we found additional resources to offset non-current expenses or non-current charges as we had at Bouygues Telecom. And in the second half of the year, we took a number of measures to offset the decline, working capital requirements booked for the first half year. I’m now going to call on Philippe Marien to talk to you about our financial statements.
Philippe Marien: [Interpreted] Good morning, ladies and gentlemen, a few additional details about our accounts and our financial position. At end 2014, regarding the consolidated income statement, I shall not dwell on the sales and current operating profit because Martin will give you a blow-by-blow account of all the business areas. Regarding other operating income and expenses, we have a change of 336. Now regarding the non-current profits or income from litigations covered the exceptional expenses related to the transformation plan. So, we had both well some redundancy plan that also the fact that we moved our premises. So the €245 million in non-current income, there are two things there. Number one, €313 million which is the capital gains on the disposal of Eurosports, and then of course the reassessment of the value of the 49% remaining. And then on the other side we have €68 million in non-current charges most of which are in Colas. And a good part of that is the non-current charges that we made provisions for in the transformation plan, transformation of the facilities at Dunkirk because it’s a refinery which makes bitumen for Colas. So, all-in-all, the operating profit is less degraded than the current operating profit in 2014. We have, the cost of debt is almost stable as 7, because there were some, well there was a loan that we paid back and we didn’t renew. But also we, as of the end of 2013 we’re not going to able to put in our balance sheet the interest on the expenses for the frequencies we started using them at the end of 2013. So, as of 2014, the full year accounted in the P&L, the expenses, the interesting expenses on these frequencies, whereas in 2013 it was only the last quarter - the first three quarters were in the balance sheet. So that accounts for the changes in the cost of net debt, with factors going both ways. You can look at the tax expense. So the actual tax rate is only 23% compared with 40% in 2013. Now there are two phenomena there, number one, the capital gains of course are less highly taxed than the operating income. Now if you restate this to take that into account, the income tax rate is only 33% rather than 40%. And the difference between 33% and 40% in 2013 is to do with the fact that our profit was higher overseas than in France. And as you may all well know income tax rates around the world are lower than in France. And so that is why we have this 23% overall tax rate. Now, if you look at the next line, investment in joint venture and associates, we have shared profits of which shared profits €50 million less. Well, the €50 million that was the contribution made by Cofiroute to Colas before it was disposed of. So because it was disposed of, we haven’t got this €50 million, the sale will happen at the beginning of the year-end 2014. So that’s for the minus €50 million. The other profits from associated companies, more or less the same in 2013 and 2014, we had less income from Alstom, a bit more from other associated companies. And so the change is all to do with the disappearance of Cofiroute. In the next line, the net capital gain on Cofiroute, €233 million but that you know because it was already booked in previous quarter. And so, all-in-all, the net profit attributable to the group is €807 million compared with minus €757 million in 2013. Well if you restate this for capital gains and depreciation in 2013, we would stand at €492 million compared with €615 million. Now then a few comments on the balance sheet. And there you have it up on the screen. Now you have non-current assets up €800 million. So you have a couple of lines for that. Fixed assets and goodwill up €200 million, out of this €200 million you have the effects of the acquisition of Plan Group that is an energy and service company in Canada which Bouygues Construction acquired last year, and so goodwill is up €35 million and the balance about €165 million is all to do with increased capital expenditure at Colas. This was already planned at the beginning of the year to be compared with very low investment in 2013 for Colas. And then you have €600 million for what we know, we call affiliated companies. Now, you have our own part in Alstom’s profit about €100 million that’s consolidated. And then the €500 million is the effects of our consolidation as of 01 June 2014 of our remaining 49% in Eurosport, it is now understood in non-current assets but it was in the 1.5 billion assets held to sell in 2013. Now you have €990 million change in the next line which is mostly to do with our cash position, if that’s the current liabilities. If you look at the cost of net debt, we have €1 billion which is of course the profits of the group, dividends minus €600 million. But there was an increase in capital of €430 million because upwards of €400 million of dividend paid out was actually paid out as shares. And then you have well, products and income and expenditure goes straight to equity. And plus the operations at Eurosport means that equity has done €100 million. So, if you work out €1 million plus €600 million minus €300 million you get the change in equity. Now, non-current liabilities. Now we had €1 billion that was loan that we paid back. And so it moved from the non-current to current liabilities. Now for its financing Bouygues Telecom, had some securities also got a credit on loan for the equipment that it bought from the supplier. And then we have a number of non-current provisions increased and that is because we recognized as a provision a number of expenses to come on the restructuring plans both at Bouygues Telecom and at Colas. Regarding the current liabilities now, up €666 million that’s of course the loan that was paid back, the bond that was paid back, I beg your pardon that moved from current to non-current, and rather the other way around, from non-current to current. And then you have the net debt, now the change I will get into more details here. We split the year in two periods, H1 and H2. You may remember that in H1 two major events, we cashed in on the disposal of Eurosport and Colas. So that was upwards of €1 billion but then operations cost us €1.6 billion. Now this is a lot big cash out but this is standard for the group, we tend to pay out more at the beginning of the year than at the end that was rather more than usual because if you compare with 2013, the operations only cost us €860 million in cash compared to €1.6 billion. Now this large amount of money included two phenomena this €1.6 billion, one was a mechanical effect of the working on WCR of Bouygues Telecom because that was simply because we had listed as income to come from litigations of €500 million because it wasn’t cashed in. There was a negative effect on WCR. There was that and then it was degradation of the WCR in our construction businesses. Now we said that was not sustainable but we did not think we were in a position to compensate entirely the negative effects of H1. So that’s where we stood in H1. In H2 then, we were in a situation where we had acquisitions to the tune of only €35 million that was mostly Plan Group that energy and service company in Canada I mentioned earlier on for Bouygues Construction. But then operation turned in about €2 billion in cash in the H2 compared with only €1.455 billion in 2013 and there you have that accounts for the net - the change in the net cash position. Now, if you look at this €1.979 billion in cash from operations in H2, well, net cash flow I beg your pardon is less than in 2013, only €937 million compared to €1.3 billion that’s because the business was more challenging in France in various business areas. But it was more difficult in France than in 2013. So, the net cash flow was not as high in H2. Capital expenditure was up simply because we had more invested, we invested more at Colas. And then we had a very positive change in working capital requirements, we had generated €1.8 billion on operations in H2 compared with just under €800 million in H2 2013. Now if you look at this €1.8 billion, there are two parts in that. What is connected to Bouygues Telecom? Bouygues Telecom in that €1.8 billion accounts for about €500 million. So that €500 million is what? Number one, well, we were able to compensate what was negative in H1 that is WCR effect. The fact that we finally cashed in on the various litigations, and so we had - about half the 500, was there. The other thing is, in terms of cash, we have not cashed out the amount provisioned for the transformation plan in the P&L. So, you have a positive effect on the WCR change-in. I will answer the question now. The €250 million, the positive effect on WCR in H2 will come again as negative in 2015, I mean, there will be a negative effect on working capital requirements in 2015 precisely because of this €250 million which will have to be cashed out for Bouygues Telecom. Now, if you take out that €500 million, nonetheless you still end up with €500 million improvement on WCR and that’s all to do with the hard work done by all our business areas to optimize WCR. And we’ve seen this again and again. When we start structured and sound programs to control working capital requirements you get results. And we’ve done this several years running. We have it again. We had highly structured mobilized organization and that brought about good results on working capital requirements. But I will confess that I mean, we talked about this in September, we did not expect such a positive performance. We are very pleasantly surprised indeed. And then, the last comment which should be pointed out here, it’s not just making accounts look good at the end of the year, these efforts were made as regard cashing in, that is accounts receivable and sending our bills promptly. And so we were able to improve the cash-in part of working capital requirements, it’s not because we were sloping at our suppliers, because that would of course catch us up in 2015. So we didn’t do that. It’s not that we’ve paid our suppliers late it’s that we’ve taken in or cashed in on our receivables more promptly. And that’s mostly again in the construction business. Now then, if you look at capital expenditure, in the various business areas, we see that our additional expenditure is mostly to do at Colas. Now, there is a comparison effect because in 2013, there was very little capital expenditure at Colas. If you look at the free cash flow in the various business segments, one comment about the construction business. We can see that a significant drop in free cash flow over 2014 compared with 2013, and there as Martin Bouygues pointed out it’s not a structural effect to do with the fact that we have less free cash flow in the construction business. But it just so happens that in 2014 we have two phenomena combining to arrive at. Well, there are two things. Part of our portfolio at Bouygues Construction, many of the construction projects have only just started. And that means large cash outlays and little cash coming in. And so that’s as a defect also on WCR. And then at Colas, we spent a lot of money on capital expenditures, so that is the combined effects meant to that free cash flow is much less in 2014 than it was in 2013, but there is nothing structural about the business. These happen to be two combined events. Now, if you look at the net cash position again by business segment you have the same thing. At Colas we have a significant increase in cash because of the disposal of Cofiroute, TF1, the same with its disposal of a portion of the Eurosport. And the holding company €416 million, €400 is to do with the fact that a good portion of the dividend was paid out in shares rather than in cash, and that accounts for the better cash position of the holding company. Regarding our cash position, and no big change compared with previous years, our cash position is very sound. We have as much as €9.6 billion in cash. Our own cash €3.9 billion, and then we have un-drawn credit facilities, €5.7 billion. Again, these are confirmed MLT facilities with no covenants. So we can use them at will and at any time. And then, we have the debt maturity schedule, most of the debt is bonds. We have no walls, no cash out walls that would make us vulnerable to volatility on the markets. We have a redemption date in 2015, that bond will not need to be paid with the issue of a new bond because as Martin Bouygues pointed out, if all goes well, we should have in 2015 the proceeds from the share repurchase tender offer. And so no problem in paying back that loan, that bond I beg your pardon in 2015. For those of you following us and monitoring us on a quarterly basis, a number of items, and you find this in the press release but let me just say this. Quite clearly, with a good news at Bouygues Telecom is that the agreement with SFR-Numericable for the pooling of cable resources or network resources has two consequences. Number one, we have additional, some additional capital expenditure at Bouygues Telecom coming up in 2015 because we’ll have to invest in joint equipment both to pool but also enhance the quality of the network. But then the other effect is all to do with facilities that we will dismantle. And so we will have to have a provision for asset depreciation in as much as these assets will be no longer in use. And then if you look at the other business areas, we find that we have to adapt to circumstances and necessarily some adaptation measures will be necessary here or there, I’m not talking about huge amounts but probably smaller operations will be required on a case by case basis. All-in-all, what we expect is to have as much as €200 million in non-current charges, most of which will be to do with the depreciation of assets to be a dismantle at Bouygues Telecom but that’s in fact good news because it means that our network will improve in terms of quality and the fact that we’ll be sharing with SFR future operating costs. The other piece of information is, as of January 1, 2015, the new accounting standards, IFRIC 21 mean that we need to recognize as of 01 January the tax is due at that date. And it’s the form of what it was known as the business tax. And instead of it being smoothed out over the year, it is all taken out in one lump in Q1. And so, this will have a negative effect on the accounts of Q1 when they come out for you to be able to have well, like-for-like comparisons between 2014 and 2015. What you will find in the annex, the detail of the restatement of IFRIC 21 on the 2014 accounts. And so you could see on a quarter-by-quarter basis, what difference it makes into the recognition of that tax. And so, it’s several dozen million euros. And so, instead of being smoothed out over the year, it’s all in one go in Q1. Thank you for your attention.
Martin Bouygues: [Interpreted] Thank you, Philippe. I propose to talk to you about our outlook and to conclude this presentation. Well, regarding the outlook, the year was marked by the resilience of the construction businesses. Thanks largely to the momentum of the international business outside of France. Current operating margin in 2014 was stable despite a decline in sales. So, there are positive signs, positive signs that could actually see the environment improve in 2016. First of all, a number of government measures in favor of housing, which we believe will start producing positive effects as of this year, but will obviously gather pace in 2016. On the other hand, we could also see a gradual increase in public investment, thanks largely to the, this greater powers project which also thanks to the contracts between the state and the regions or even the coming to effect of the Jonker plans - or the Jonker plan, I should say. These all could have a positive upside. We’re continuing to develop the business plan, business model shall I say of TF1 is prudent of the current operating margin, stripping out the impact of the deconsolidation of Eurosport International. For Bouygues Telecom, 2015 would be a year of transition before we’re returning to positive cash flow, for positive free cash flow in 2016. We anticipate stable EBITDA in 2015, a slight increase in CapEx as you heard due to the sharing of a part of the mobile access network, which will - the initial phase require a number of additional investments and the conformation of our target to save €300 million a year in 2016. As for the dividend, the board of directors proposes that the AGM approve a resolution proposing to maintain the dividend, €1.60 per share in cash. You have the main dates that extend the record date impairment date. Stable dividend reflects the confidence in the success of the measures implemented by all the group segments in order to return to growth in 2016, which is of course supported by our stronger financial position now. So, what about the group’s strategic priorities? Well, for the medium term we intend to offer our clients, value added offers and increasingly innovative services for the benefit of the greatest number of people, this is true in construction, true in the media and it’s true for telecoms as well. We also want to ensure regular generation of free cash flow over the long-term and create value for all our stakeholders. I’m thinking of VPPs or offers with a considerable sustainable development components. These are forms of innovation that could be very beneficial to us. The group’s objectives translate into strategic priorities in each of our businesses I’m not going to comment them in turn. The Bouygues Group is already a world leader in construction and civil works, energy and transport infrastructure. Our construction business will continue to develop. We already generate over 50% of our sales outside of France. We intend to continue to innovate and offer our clients increasingly rich offers, basically in terms of sustainable development. While maintaining this leadership, TFR will develop new sources of growth particularly in digital and content. And finally, as I said earlier, Bouygues Telecom intends to play a major part in the explosion of digital uses. As you know, this is something that’s already underway. I would conclude by saying that Bouygues has once again proved its great ability to adapt to changes in its environment. And any competitive and economic environment will remain challenging in France in 2015. All the group’s business segments will continue their transformation plans and give pride of place to a return to growth in 2016. So, I’m confident in the ability of each of the group’s business segments to reinvent themselves in order to seize opportunities in their markets and return to growth. That brings us to the end of the presentation. And so, my colleagues and I will now endeavor to answer your questions. The gentleman, here.
Q - Martin Bouygues: [Interpreted] Nicolas Cote-Colisson from HSBC. A few questions on telecoms, firstly, if you could tell us more about your intentions regarding the 700 megahertz spectrum that’s going to be made available. And if you are to be involved, what type of payment schedule are you considering? My second question concerns Bouygues Telecom’s marketing costs; approximately €100 million per quarter down sharply on 2013, I’d like to know what the main factors are behind that? Was it the cost of acquisition, subscriber acquisition, or the churn, and how these costs can be improved in 2015?
Martin Bouygues: [Interpreted] All right. Concerning the spectrum, I’ll answer that question first. Let’s be perfectly clear about this. We will be taking part. I’ve no idea what the timeframe is going to be; I gather it’s been modified and adjusted. The call for tenders has yet to be put out. But for the 800 megahertz frequencies, the specifications were incredibly complex. I can’t imagine the 700 megahertz spectrum being any less complex. And, of course, there’s the whole issue of the spectrum available to our hertz in television that will have to be borne in mind. We have a great portfolio of frequencies and despite that we will be taking an active part in this call for tenders. I should add that we’ve asked the regulator, we’ve, in fact, told the regulator, that in no way could we accept a part of the spectrum being set aside for the benefit of an operator who did not tender on previous occasions. First of all, this would abnormally distort competition. And if that were to be the case, that would considerably devalue the bidding, meaning that if you don’t want to become involved in the bidding, it doesn’t matter; next time round you can catch up. That would be incomprehensible to us. We were perfectly clear about that, and have insisted that if that is to be the case we would contest the procedure. But I don’t believe that will be the case. So, yes, the 700 megahertz spectrum is one of the challenges we will be taking up; very actively, in fact. And we have every intention of playing our part. As for the schedule of payments, well, like you, I haven’t got a clue. What I can say is that the state has become accustomed to accepting payments well in advance of delivering, so I think the 700 megahertz spectrum will be available in, what, 2018, I think, 2017, more likely 2018. That’s as much as I can say. As for our marketing costs, Olivier Roussat will answer that.
Olivier Roussat: [Interpreted] Well, the figure you mentioned includes commission also reflects the fact that we changed the mobile distribution model. This explains the variance and you can expect a comparable variance in 2015.
Martin Bouygues: [Interpreted] Question over here, number three.
Vincent Maulay: [Interpreted] Vincent Maulay from the Oddo Securities Group. Two questions on the telecom and one on the return to positive cash. On telecoms, could you give us some feedback on the streamlining plan you are intended - the plan to reduce the portfolio of products? Is it, aren’t customers tempted to opt for cheaper plans. Have you any tangible signs on the fact that the impact of CRM and other IT investments? The other question on telecom, just to get a feel for something that wasn’t mentioned in the slide but what you said, 1 million in gross ads and fixed broadband, I knew that would appeal to you, I knew you would be happy about that. But I just wanted to be sure that I fully understood that. Is it over 1 million gross ads or that means is that the churn is over 600,000 for the year which would give you a churn rate of 30%. And my question is, did you see the churn rate drop in Q4?
Martin Bouygues: [Interpreted] Let me say two things to the 1 million mark these are mainly thanks to the generosity of our competitors, given the cost of their plans. It’s only natural that they contributed. Remember they have a fixed line offers with very substantial EBITDA margins. So, our offering is very generous, and this is why it’s so successful. Well, the churn rate is a combination of several factors. One factor is that quality. We had some difficulties maintaining quality at the start of the year we’ve remedied that. We’ve also made a number of, well we’re also faced I’d say with a number of promotional drives, competitors replacing the €40 subscribers by €4 subscribers, obviously that creates a lot of upheaval in the market. I said that we would be giving back our clients €150 a year, well that’s been done. That’s several billion that have been handed back to subscribers in the fixed broadband market which is a good thing. This is something we continue and even accelerate. As for the costs streamlining, Olivier?
Olivier Roussat: [Interpreted] Two thirds of our subscriber base has been migrated to new offers and we’ll complete that by the end of Q2. Concerning the modeling, well I think things have gone to plan. Things have gone as expected so that’s it.
Vincent Maulay: [Interpreted] How about the return to positive cash? What about the cash from Alstom, will that be mainly used for de-leveraging or will you be marketing certain amount for return to shareholders?
Martin Bouygues: [Interpreted] For the moment the priority is the group’s debt as we’ve said, that is our priority for the year, for the moment. Over here and then back you.
Josep Pujal: [Interpreted] Josep Pujal from Kepler Cheuvreux. I have three questions. My first question concerns liquidity in 2015, if you could give us some insight into how to monitor liquidity. There are number of ends that we can foresee. Can you put a figure or a range on these various events, the cost of the redundancy scheme or departure scheme in telecoms? And of the €200 million in costs, this is for the access sharing agreement with SFR Numericable, is that all cash, also the restructuring of the Dunkirk refinery? And finally, I know it’s difficult to explain but have you got a best guess or that you could give us for working capital requirements, your best guess and the impact on working capital requirements?
Martin Bouygues: [Interpreted] Some of this is in the form of asset impairments, we do not consume cash, the CapEx likewise because of number of additional investments required for the network.
Philippe Marien: [Interpreted] I’ll try and answer you a different question Josep, in 2015 the cash impacts were obviously would be the €250 million that I told you about for Bouygues Telecom. This is the cash outage for the various - for the various expenses booked in 2014. So, the cash will be down €250 million for Bouygues Telecom in the light of the plan as recorded at year-end. Of the €200 million in non-current charges in 2015, the vast majority would be in the form of asset write-downs. Of the €200 million the vast majority concerns Bouygues Telecom and the sharing agreement. And the impact of this sharing is almost entirely in the form of asset impairments. There will also be a slight increase in the cash out because of the CapEx. But for the group, but essentially for Bouygues Telecom we’re talking about somewhere in the region of €100 million by comparison with 2014, they’re not very substantial figures. Now Colas, part of the cost to be incurred this year will be cash out, cash outs. These are the faster consequences of the restructuring plan. But there will also be other asset impairments because the plan consists in discontinuing one oil chain to be replaced by them, an increase in bitumen production. Now concerning the changes in working capital, I’m going to answer your question a bit differently. The change in working capital requirements will be in the region of €300 million to €400 million, that’s a negative next year, €254 million Bouygues Telecom and the remainder as you suggested for because of Colas and a number of other effects in particular, the take up in the residential property which is still low. Those, improved and is still improving, certainly better than in the recent past. The take-up is still low. And this will have an impact. So, all things combined, the cash effect on next year of what we’ve already recorded would be found in working capital requirements and the order of magnitude will be €300 million to €350 million plus the normal natural impact of operations which you will have an overall impact of €350 million to €400 million. Is that clear?
Josep Pujal: [Interpreted] Thank you. I have two other questions if I may. My second question concerns what you said about the margin in construction. You said you hoped to be able to uphold this margin. About 50% of your business is generated in France. And you have said that the competitive environment is difficult your order-book is down 7%, does that mean that operations outside of France will compensate the decline in France?
Martin Bouygues: [Interpreted] It depends on the number of large projects that we commence. There are very, very large structures that in the launch phase, we’re always very, very cautious while things are establishing themselves. We manage our margins very conservatively. Margins tend to improve over time. So if you’re starting up a lot of very large projects that can have an impact. Concerning France, we’re quite cautious and we’re not pushing our people to take orders at all costs. We’re always very careful. In fact, we prioritize quality we prefer quality to quantity at Colas, at reconstruction. We prefer quality to quantity. So, we’re very, very careful and do not anticipate any deterioration in this area, in fact there is no reason to believe that things will deteriorate on the company.
Josep Pujal: [Interpreted] Thank you. And I had a third question on Telecoms. At what point in time do you think that the business would become profitable? Data users are exploding already, the number of subscribers in fact the fixed line subscribers has increased sharply by about 20%, the EBITDA is down sailed down. When do you think we’re going to convert the try, when are we going to make money out of this?
Martin Bouygues: [Interpreted] As we’ve already said, I think this should all materialize in the financial statements in 2016. The portfolio of subscribers will increase in 2015. The decline in sales will tail-off in 2015. And then our main totals and sub-totals, I said this will evidence in 2016. But let me recall a few things that I think are important. First of all, mobile telecommunications there are two types of business, voice and data. In voice, we have a maverick in the market that’s free with offers at zero or €2 all-in. In mobile data, the data correspond to the third and fourth generation, 3G and 4G, so you need a high quality network and portfolio frequencies, which is exactly what we have. We have a network that was recently acknowledged as the best in France and the portfolio of frequencies which given the number of subscribers is the best, which means we can expand 4G all the more. 4G is a technology that enables you to pool to arrange the frequencies and 4G plus-plus-plus is three ranges of frequencies working together to improve the throughput. This is something we don’t have to do, and there are many in the market know how to do that. We believe this is going to give us an obvious competitive edge in fixed broadband, I’m sorry, not in fixed, in mobile. And the way users are developing, it would confirm that. So, everything suggests that we’re on the right track and this is, it’s going to be a very important one. And the second important thing, I read with great attention as I’m sure you did the declarations on the part of the new head of Arcep, the French telecoms authority. Sebastian Soriano [ph] said he was eager to put an end to this substitution drug, using his words, in talking about roaming. It seems to me that his intentions are perfectly clear and that’s long-lasting mobile phones were going to reinstate a fairer competition, a more natural form of competition. When you have a network that’s the best or second best in the country, and you have a portfolio of frequencies that’s the best in the country. When you have a cost structure which obliges you to be among the best in the world, and in fixed telecoms you were very relevant offer in technologies being developed with the advent of Android and then in boxes, what can go wrong, what can go wrong. I think we’ve weathered the storm, we’ve pulled through it it’s behind us now. We’re looking forward to the future. Gentleman, here.
Antoine Pradayrol: [Interpreted] Antoine Pradayrol from Exane BNP Paribas. My first question is somewhat technical on the rate of income tax. You told us why it was so low in 2014, with higher share of profits from outside of France. Why wouldn’t that continue to be the case in 2015, what do you anticipate for 2015, maybe you could begin with that and then I have a more strategic question on telecoms? Well, on taxation, well the rate of taxation normalized level would be closer to 35%. And on telecommunications I’d like to come back to our mission of gaining 1 million fixed, an extra 1 million in fixed and an extra 1 million in mobile. In mobile I understand that you have a big advantage in the 4G as it does Orange. How come you would think you’ll gain 1 million is it increases in market share, is it a bigger market a deeper market, and if it is market share or gain on market share, what makes you think that your rivals will not have a 4G network by 2017?
Martin Bouygues: [Interpreted] I’m going to try and answer that, the first part of my answer is very straight forward. Contrary to common wisdom preconceived ideas, since the arrival of the three of the markets, we haven’t lost any subscribers in the mobile or telecommunications, we haven’t, it’s a misconception. 2014 has actually shown that we have even increased our subscriber base in mobile phones. And we will continue to increase that subscriber base. When I say as the success, we’ve had with 4G is such that we have a whole new layer of important subscribers, corporate subscribers for the segment that’s increased substantially in the last year. So, now, rolling out to a 4G network without roaming, especially if you haven’t got the frequencies, well that’s - easier said than done. There is also SFR, sure, SFR was a competitor.
Antoine Pradayrol: [Interpreted] Why couldn’t we be competitors and yet increase our market share?
Martin Bouygues: [Interpreted] You’re being mischievous are you? Well, there are three operatives of a 4G network and by 2017, there is a fourth, that’s just not, well they will have necessarily they’ll have a 4G network.
Antoine Pradayrol: [Interpreted] Well, then how do you plan to gain market share?
Martin Bouygues: [Interpreted] Well, with relevance, relevance of offers.
Antoine Pradayrol: [Interpreted] You’re amazing.
Martin Bouygues: [Interpreted] That’s exactly what we’re doing. We’re just showing you what we are capable of doing in 2014, why wouldn’t we do that in 2015, ‘16 and ‘17, 1 million. Well, in fixed telecommunications, our net increase was over 400,000 in less than 12 months in 2014, while with the unbundling going on, we’ll have an even bigger catchments area. And we have a few cards up our sleeves in fixed telecommunications. Now we believe that over three years, a gain of 1 million customers is actually slower growth than we experienced in 2014, so I think that’s a very reasonable ambition, I don’t know if Olivier, you’d like to add to that?
Olivier Roussat: [Interpreted] Well, I think your vision of the mobile market is somewhat incorrect. There are newcomers to the market every year, somewhere between 800,000 and 1 million every year. So, the idea of seeking out one third of these net new ads in the area isn’t altogether unreasonable. And so far as we’ve modified our offering, we’ve reduced the churn. But simply by improving the churn and with the national new ads in the markets, out of competitiveness in 4G, we continue to be market leader for structural reasons. Our competitors can do what they want to try and catch up but in the ultra-high-speed, we’d be the only operator in France and we’ll continue to be the only one for two or three years. Orange isn’t going to catch-up. I think SFR will need to re-modernize its network to become involved. So we’re, very, very calm and assured about our market share goals. We believe that the investments that we made in difficult times, difficult times for us and in the middle of the storm that we weathered, while we continue to invest in our network. And we believe that it’s now that we will see the results. In 4G our network is outstanding. Let me say it again, in 4G we provide a high-quality service, so high quality that Bouygues Telecom subscribers are among the highest consumers of 4G.
Martin Bouygues: [Interpreted] If I could just add to that, if you look we all have similar plans in our year. One operator is offering 20 gigabytes for €20 but the leader in consumption France is Bouygues Telecom, 45% of 4G consumption in France, we haven’t gotten 45% of the clients but we have 45% of the consumption with 34% of the subscribers. When you look at the quality of our network, something we’ve planned that we’ve been overtaken by Orange, but with the same plans, our consumers are consuming twice as much as subscribers elsewhere. It’s not because they’re going to consume more to please us, it’s because the quality of signal is that much better the quality of the network is that much better. And to provide that it takes time to install base stations in various towns and cities. This is what we’ve done we’ve reused our frequencies. This enabled us to say we’re going to be the reference in 4G right up to 2017. Gentleman over here, and then the other side of the room.
Unidentified Analyst: [Interpreted] Jean-Francois Elgar [ph]. I’m struck by the fact that a number of assets were sold in all your business segments over the last 18 months. I’m struck by the concomitance. With these asset disposals, we saw that you de-leveraged and you stressed the fact that the priority was to reduce the debt, how would the group’s ideal financial structure be?
Martin Bouygues: [Interpreted] The guidance was not zero debt the idea is to see whether what assets we should keep and what we should sell. For Cofiroute I think I don’t think we got it wrong. Likewise, I saw when we sold that I don’t think it was the wrong move to dispose of that. So, well, choosing between what to keep and what to sell, normally you reinvest once you do. But we don’t reinvest because we have, well, we have no reason to reinvest right now. We believe it’s useful for us to have a low level of debt. And that will give us room for maneuver maybe to buy up another telephone operator. Maybe we’ll succeed.
Unidentified Analyst: [Interpreted] And why you don’t want to be able to acquire Orange I mean, or the other one?
Martin Bouygues: [Interpreted] Yes sir.
Unidentified Analyst: [Interpreted] If I may, the telecom environment, you noted that the things are changing in France, and especially in terms of market regulation but it’s not France, it’s Europe isn’t it, the new European commission is specially the commissioner for telecom has announced a number of changes in Europe’s policy. They seem to be in favor of well, of the consumer bringing prices down and at the same time the telecom operators are lagging behind in capital expenditure or developing the network? And also you have many operators as compared with the U.S. for instance, how do you see things change in the area?
Martin Bouygues: [Interpreted] Well, let me tell you this. The European Commission has reaffirmed the need for investment competition, in other words, telecom operators should compete by investing. And if you compare the U.S. with Europe, you have many more operators in Europe than in U.S. Well, I think Europe is the right place. If you look at, if you consume in the U.S. you’d pay much more for your bills and for your telephone than you do in Europe. And so, competition does help bring the prices down.
Unidentified Analyst: [Interpreted] Yes, so it means that for our U.S. operators have it easier because they - it’s nice for you to look at the producers, but what will it come to consumers, Telco operators are there to serve their customers. And if you have more competition the prices come down?
Martin Bouygues: [Interpreted] No, the idea of some sort of inter-continental consolidation or Interstellar Corp consolidation is ridiculous because otherwise Vodafone should have global monopoly on telephones because they’ve been global for 20 years. Has this brought Vodafone any competitive advantage, I mean, wherever Vodafone is number four, they remain number four. Likewise or Orange or Deutsche Telecom or the others, synergies may between international groups are very small. And that’s the difference between manufacturing industry and services. That’s where you can’t save much money doing this. And there are four plays in France and as much as competition between the four players is fair, and that was by the way not always the case. But as much as competition becomes fair again, well then you can have a market with four players. We welcome competition and that will be good for the consumers.
Unidentified Analyst: [Interpreted] So, you don’t expect major changes on the European scale? I mean, over the past four or five years things have changed.
Martin Bouygues: [Interpreted] Well, it won’t be the first time that the European commission says something that doesn’t happen. I mean they may change their mind too. Other further questions out there. Yes, sir.
Jean-Michel Koster: [Interpreted] Hello, my name is Jean-Michel Koster and I’m with CIC. You talked about transformations at while restructuring at telecom you’re talking about saving €300 million. But what difference will this, made you say in 2014, I mean can you already see the difference?
Martin Bouygues: [Interpreted] Well, we don’t communicate on that but things are happening, I mean, things are underway. And the synergies and the savings will be made. I mean, the most is already behind us, the biggest part of it is behind us already. Yes, sir.
Unidentified Analyst: [Interpreted] Hello, I’m with Natixis [ph]. Two details about slide 13 where you have the distribution of revenue by country, in North America what is the share in U.S. versus Canadian dollar? And I believe that in 2013, business at Colas had suffered a bit.
Philippe Marien: [Interpreted] So, U.S. versus Canadian dollar, I haven’t got the numbers but if you want this, we can give you the numbers. CAD1.5 billion in Canadian dollar that would balance in U.S. dollar, it’s mostly reconstruction. Colas is, both in the U.S. and in Canada, and in the U.S. you have Colas and reconstruction through operations in Miami, the tunnel that we’re building there and some construction sites.
Unidentified Analyst: [Interpreted] All right. Thank you. And what about the license fee on the reforming of the 1,800 frequencies, I believe the Council of State ruled in your favor and rightly so, but how much did it cost you in 2014?
Martin Bouygues: [Interpreted] No, what the Supreme Court or the council of state said, that what had been announced was invalid. But they didn’t say what the new value was. So they didn’t come up with the new number. So we’re waiting. And all we can say is we’re very cautious.
Unidentified Analyst: [Interpreted] But no, how much did you spend on the license fee in 2014?
Philippe Marien: [Interpreted] It was 60, the difference was 60.
Martin Bouygues: [Interpreted] All right, if there are no further questions. Thank you for your attention.